Operator: Good day, ladies and gentlemen, and welcome to PGT Second Quarter 2011 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator instructions) As a reminder, this conference is being recorded. I would like to introduce Mr. Brad West, Director of Finance and Control. You may begin.
Brad West: Good morning, and thank you for joining us for PGT’s Second Quarter 2011 conference call. I am Brad West, Corporate Controller. I am joined by Rod Hershberger, President and CEO; and Jeff Jackson, Executive Vice President and CFO. Rod and Jeff will represent PGT on this morning’s call. Before we begin, let me remind everyone that today’s call may contain statements concerning the company’s future prospects, business strategies, and industry trends. Such statements are considered to be forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements are based on our current expectations and are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements. Please refer to the August 3 press release, our most recent Form 10-K, and other documents filed with the SEC. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of our press release is posted on Investor Relations section of our corporate website at www.pgtinc.com. Included in the press release are the unaudited consolidated balance sheet and statements of operations prepared in accordance with GAAP and adjusted information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics for evaluating performance internally. A detailed explanation of these non-GAAP measurements can be found in our Form 8-K filed August 3 with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather, we believe these non-GAAP measurements provide additional information for investors to facilitate the comparison of past and present performance. For today’s call, Rod will provide an overview of our performance for the second quarter, then Jeff will discuss our results in more detail. After their prepared remarks, we will take your questions. With that, let me turn the call over to Rod Hershberger. Rod?
Rod Hershberger: Thanks Brad. Good morning everyone. During the fourth quarter of 2010, we announced the decision to consolidate our North Carolina operations into our Florida facility. All manufacturing lines have been moved and we have filled approximately 400 new positions. These new employees along with our existing ones are working hard to produce high quality products with industry leading lead times, which is no less than we, or our customers expect form PGT. Vacating a 400,000 square feet building in consolidating all the production lines into our existing North Venice facility has been a Herculean task and I congratulate our team for accomplishing the move on schedule. Sales in the second quarter decreased $3.8 million or 7.8% from a year ago. This includes a reduction in WinGuard sales, which were down $1.8 million or 5.9%, mainly as a result of temporary capacity constraints. For example, in April 2011, our Vinyl WinGuard lines were able to produce approximately 50% of the units that we produced in April 2010. This was due to the shut down of those production lines in North Carolina, the move to Florida and the subsequent ramp up of the lines. As a result, the lines could not meet demand and Vinyl WinGuard sales were down $400,000 or 8% from prior year. That particular product line had seen year over year sales growth in each of the previous four quarters and we believe this trend will continue. I am pleased to report that we have experienced substantial improvement on these lines due to the efforts of our employees and leadership. In June, that line produced 90% of the units produced in June 2010. We returned to normal production capacity on these lines in July. Although our Aluminum WinGuard line did not move from North Carolina, production was negatively affected by the increased pressure on our glass operations. In order to meet demand, we extended our lead times during April. This increase in lead time along with the ship towards vinyl products contributed to the decline in Aluminum WinGuard sales, which were down $1.4 million or 6% for the quarter. Lead times for this product line return to normal which is 10 days at the end of July. Our vinyl non-impact products including SpectraGuard reported a $1.6 million decline in sales or 33% due both to our decreased efforts out of state, as well as capacity constraints caused by moving those lines during the second quarter. We also experienced a $1.6 decrease in Architectural Systems sales due to ongoing softness in the commercial market. Our PremierVue line of high end vinyl impact products continues to grow with a $1.1 million increase in sales to $2.2 million for the second quarter. The growth at this line shows that consumers in Florida are interested in energy efficient products meeting the highest structural demand. In terms of sales by region, out of state sales were down $3 million or 39%. This decline was not unexpected as we have intentionally decreased our efforts out of state and narrowed our focus to Florida and international markets. Sales in the quarter were down to $1.1 million or 2.8% from a year ago due mainly to temporary capacity constrains just described. International sales have increased 17% over prior year. Our recently added resources are already making an impact in the territory in which we believe there are strong demand for our impact products. Our decline in overall sales occurred both in new constructions down 11% and in R&R down 5%. As a percentage of total sales for the second quarter of 2011 on R&R accounted for 78% and new construction sales accounted for 22% of sales. Comparing our second quarter to the prior year second quarter, our adjusted gross margin was 30.1% versus a gross margin of 31.1% in 2010. Adjusted gross margin decreased mainly due to loss absorption from lower sales. This was somewhat offset by lower spending in overhead categories. We also experienced an increase in the cost of materials including an increase in the cost of aluminum which is up 18% over prior year. The cost increases had been offset by a price increase announced in the first quarter of 2011. SG&A cost adjusted for 2011 consolidation charges decreased $1.5 million, driven by our consolidation charges of $1.4 million and expenses of $3.3 million which reflect the temporary additional labor and scrap extends incurred as a result of the consolidation, we recorded a net loss of $5 million for the second quarter of 2011. Adjusted EBITDA was $4.6 million in the second quarter of 2011, which is down from the EBITDA of $5.3 million from prior year. The decrease in adjusted EBITDA was driven mainly by lower sales volume offset by decreases in various spending categories. Within our core market, total housing starts were down 5%, multi-family starts were up 9% with single family starts decreased to 8% compared to a year ago. Market conditions remain difficult and are not expected to turn around significantly in 2011. With that, I will turn the call over to Jeff who will review the results for the quarter in greater detail.
Jeff Jackson: Thank you, Rod. This past quarter was very busy for us at PGT. I would like to start by highlighting two significant events that happened during the quarter. One being the refinancing of our term loan, the other being the consolidation of our North Carolina operations into our Florida facility. We successfully refinanced a long-term debt which was going to be due February 2012. The new credit agreement was included as an exhibit to our 8-K filed with the SEC on June 23, 2011. Some highlights of the advantages provided by our new agreement over the prior agreement include the extension of a due date to June 2016, a reduction of our interest rate on the debt by 100 basis points to 5.75 initially with the potential for further improvement as leverage decreases. In conjunction with the refinancing, we paid down our outstanding debt by $2 million bringing our term loan to $48 million. With the closing of this new facility, we have adequate resources and liquidity and reasonable covenants that should provide flexibility for future growth. Second, a major portion of our North Carolina operations were moved in March, April and May including the vinyl production lines and glass plant operations. With the majority of our move complete, we have turned our focus to improving operational efficiencies and better serving customers. The impact of the move which involved over 120 truckloads of equipment and inventory relocation and the hiring of an additional 400 people in Florida resulted in excess labor hours, overtime, training and material usage that exceeded our expectations. We highlighted our estimate of that excess totaling $3.4 million in our press release within the reconciliation of non-GAAP financial measures under Manufacturing Inefficiencies. We also recorded $1.4 million in consolidation charges for employee severance cost and other related move in expenses in the quarter. We discussed and agreed upon our method of calculating these charges with our creditors for the purpose of calculating our adjusted EBITDA for bank leverage reporting purposes. To-date including charges for the fourth quarter of 2010, we have recorded $9.4 million of consolidation and excess operational charges. We are now anticipating incurring between $11 million and $12 million in total versus our original estimate of $7 million in total cash consolidation charges. Our estimated savings from the consolidation will range from $67 million annually of which we estimate recognizing $2.5 million to$ 3 million in our current back half fiscal year getting in the third quarter. Many of the items which caused delays and excess cost during the quarter have been addressed by the end of the second quarter. We continue to make adjustments to improve the operations and to get PGT back to the level of operating performance that we are known for in the marketplace. While we continue to make improvements into the third quarter preliminary July results indicate excess labor and materials have shown significant improvement and are trending to decrease by 55% to 60% of what we experienced in the second quarter. As our employees become more seasoned we expect this positive trend to continue through the third quarter and we expect to perform at our prior operating measures by the beginning of the fourth quarter. Moving on to operational results, let me give you more detail on our second quarter. We reported net sales of $45.2 million, a decrease of 7.8% from prior year's second quarter. Sales into the R&R market which represented 78% of our total sales were down 5% mainly due to lower R&R WinGuard sales. In total, our WinGuard products, both aluminum and vinyl, continue to lead our sales, representing approximately 63% of sales for the second quarter. Total impact product sales which include WinGuard, PremierVue and Architectural System product lines represented approximately 72% of our sales in the second quarter of 2011 as compared to 69% in the prior year. Florida sales represented 85% of total sales in the second quarter and 81% of sales in the second quarter of 2010. Sales into Florida decreased $1.1 million in the quarter due to $2.1 million decrease in WinGuard sales offset by an increase in our PremierVue sales of $1.1 million. The increase in PremierVue sales was driven by sales into southeast Florida typically an aluminum market which was up $1 million. Breaking down our sales drivers for the second quarter compared to 2010's second quarter, we have WinGuard sales at $28.7 million versus $30.5 million, down 5.6%. PremierVue sales were $2.2 million versus $1.1 million in the second quarter of 2010, up 100%. Vinyl non-impact sales and other product sales were $7 million versus $8.5 million, down 17.7%. Aluminum non-impact product sales were $5.7 million versus $5.8 million, virtually flat. Architectural System sales were $1.5 million versus $3.1 million down 51.6%. Our adjusted gross margin for the second quarter was 30.1% versus gross margin of 31.1% in the second quarter of 2010. Our decrease in gross margin percent of 100 basis points was driven by a decrease in fixed cost absorption due to lower sales which reduced margins by 210 basis points and increase in the cost of materials including aluminum with reduced margins by 180 basis points. This was offset somewhat by the impact of our price increase announced the first quarter which increased margins by 210 basis points and the reduction in overhead spending which increased margin by 80 basis points. Our average cost of aluminium was approximately $2,400 per metric ton during the second quarter. Comprised of spot purchases averaging $2,588 per metric ton or approximately 43% of our needs and hedge purchases averaging $2,264 per metric ton or 57% of our needs. This compares the second quarter of 2010 average of $2,036 per metric ton. As of today we are edged to approximately 60% of our estimating needs for the remainder of 2011 and an average of $2,442 per metric ton. This includes zero cost callers for 22% of our needs for the second half of 2011.The cash price as of today is $2,540 per metric ton. Our selling, general and administrative expenses were $12.6 million. Excluding consolidation charges of $218, 000, our SG&A cost were $12.4 million which was down $1.5 million compared to the second quarter of 2010. Driving this decrease was lower selling expenses of $300,000, lower indirect labor cost of $300,000, lower bad debt expense of $200,000, lower depreciation of $200,000 and a $400,000 decrease in non-cash stock compensation expense. Excluding consolidation charges and non-cash stock compensation expense, SG&A as percent of sales decreased to 27.4% of sales from 28.4% of sales in 2010. Interest expense was $1.1 million compared to $1.3 million in the second quarter of 2010. Interest expense was lower by $200,000 due mainly to lower debt levels, outstanding during the quarter and our lower interest rate for the last part of the quarter. The resulting 100 basis point reduction in interest rate results in savings to our company of approximately $480,000 per year at our current debt levels. Other expense of $460,000 for the second quarter of 2011 included a $420,000 write off of deferred financing cost from the previous credit agreement. During the second quarter of 2011, we did not record any cash expense or benefits. We have an effective tax rate of zero due to the full valuation allowance that we applied to our deferred tax assets. We had net loss is the second quarter of $5 million or $0.09 per diluted share versus net income of $1,000 in the second quarter of our prior year. The net loss in the second quarter of 2011 includes $1.4 million in consolidation charges, $3.3 million in excess operational charges and $400,000 in write offs of deferred financing cost. Adjusting these charges net income was $121,000 for the second quarter of 2011. Adjusted EBIDTA was $4.6 million for the second quarter versus EBIDTA of $5.3 million for the second quarter of 2010. The decrease in EBIDTA of $615,000 is mainly due to the impact of lower sales offset by the savings in spending categories previously mentioned. As additional of quarter depreciation and amortization totaled of $3.5 million. A reconciliation of net income and EBIDTA is included in our earnings release for your efforts. Turing to our balance sheet. At quarter year end, our net working capital excluding cash increased about $300,000 compared to the end of the first quarter. DSOs came in at 41.2 days during the quarter. In reviewing free cash flow for the second quarter, we had adjusted EBIDTA excluding $500,000 of non-cash stock compensation expense of $5.1 million; capital additions of $900,000; cash paid for interest of $1 million; cash paid for consolidation expense and excess operational cost associated with the consolidation of $5.9 million; cash paid for debt fees related to the refinance of $2.4 million; and we used $300,000 in working capital. These items along with the $2 million debt payment and a few other items resulted in cash on hand of $7.7 million at the end of the second quarter. Our net debt and corresponding leverage ratio at the end of the second of 2011 was approximately $40.3 million and 2.8 times. There are many factors affecting the economy and our industry including high unemployment, a sagging housing market, and uncertainty regarding our country's fiscal health. While these factors are outside our control, there are several items that we can control including complete the training of our new employees and then returning to our normal operating levels; continue the capitalize on Florida's market shift to vinyl as we have done in the past with our PremierVue product and our other new products we launched. And lastly, serve the customer in a way that only we have been able to do in the marketplace for the past 30 years. We are focused on these areas as we enter the back-half of 2011. With that, let me turn the call back over to Rod (inaudible).
Rod Hershberger: Thanks Jeff. We faced many challenges during the quarter operationally as a result of the consolidation. We are working through these challenges and already see improvement. Our products and customers are lined-up nicely for the future. We are leading the charge of vinyl into the Florida market including the Southeast. We continue to be the dominant player in Florida, and are expanding our presence internationally. Lastly, we are positioned well and take full advantage of savings and improved focus granted by the consolidation. To all the new faces of PGT welcome. We are glad you are here, and we look forward to a long relationship together. With that, I will conclude and Jeff and I will be happy to answer your questions. Mary, if you could get the first question please.
Operator: (operator instructions). Our first question comes from Sam Darkatsh from Raymond James.
Josh Chan : Good morning Rod, Jeff. This is actually Josh filling in for Sam, how are you?
Raymond James: Good morning Rod, Jeff. This is actually Josh filling in for Sam, how are you?
Rod Hershberger: Hey Josh, how are you doing?
Josh Chan : Good. Just wanted to get your thoughts on how the quarter shook out versus your own expectations going back when we were last speaking?
Raymond James: Good. Just wanted to get your thoughts on how the quarter shook out versus your own expectations going back when we were last speaking?
Rod Hershberger: Yeah, I think throughout the call we talked a lot about the consolidation and some of the struggles that we had bringing everything in. And I think we are alone disappointed in ourselves in our operationally how we handled the consolidation. So, it kind of breaks into two pieces. We really are experts in moving lines and facilities and we were able to make the move in time, on time, on schedule, and bring everything into this plant. And it was the huge task when you think about taking almost to 400,000 sq foot building and moving it to another 400,000 or 500,000 sq foot building. The scheduling of our product-line and the different product we have made in North Carolina versus Florida, was a little harder to integrate particularly from the glass side than what we had anticipated, and hindsight is always 20-20, but we had some struggles there that we hadn’t anticipated. So we are disappointed in our performance with that portion of the move. Pretty proud of our folks and how quick once the move was done and things stabilized a little bit, how quick they turn that around and were able to hit the customer demands and get lead times back to where they were and start hitting our traditional 99% plus complete on-time delivery. So, it was a tough quarter, a little bit more work consolidation wise than we thought, and we didn’t give I think the right flavor after Q1's call on how that would play out. But all in all, we are satisfied with where we are at, we are not happy with how we got there. 
Operator: Our next question comes from Michael Rehaut from JPMorgan.
Will Wong - JPMorgan: Hi guys, this is actually Will Wong on for Mike. How are you?
Rod Hershberger: Hey Will, good, how are you?
Will Wong - JPMorgan: Good. Just a quick question from the seasonality perspective, it looks like 2Q is typically your strongest quarter. Do you think that in the second half of this year there will be anything different that’s things will outpace this second quarter?
Jeff Jackson: It’s tough to estimate the true impact the consolidation had on the second quarter. We know what impacted it and we know our second quarter is typically our strongest sales quarter. So with that said, I don’t think is unreasonable to imply that the third quarter will be at least as good as the second quarter and potentially better. Okay again we were impacted, like Rod had mentioned, we did change some lead times for our major product WinGuard. We are adjusting that -- we have already adjusted that lead time back now. We do have the Vinyl WinGuard platform back up and running and can meet our lead times there. So we are talking major contributors to our top line are performing like again in the past. And I do think the third quarter will not be worse potentially as good if not better than our second quarter. I know we typically don’t like you have guidance, but we do feel the second quarter was unfortunately impacted by the timing of the move.
Rod Hershberger: Yeah, Jeff hit the capacity constraints pretty well, now those are pretty much on gotten now, they affected in us in Q2. I think the other think that we have got to make sure every one is aware of this, we exited a lot of the northern, that we call it the northern market the out of Florida market. So we are focused more on Florida and internationally. And the seasonality that you see from the market outside the Florida is a little bit greater than you see in the Florida market. Don’t know that I am ready to tell you exactly how that’s going to play out but that will make a difference in the seasonality that you have seen us, particularly as we hit Q4 and Q1, typically the slowest seasons out of state which our markets that we are not doing a lot of volume then right now. And I think the rules have changed a little bit going forward.
Will Wong - JPMorgan: Okay, very good. Also in terms of Florida housing starts and they sell 5% and single family starts fell 8% this quarter. What are your thoughts on Florida Housing start over the next couple of quarters? And also into 2012, are you guys budgeting for an increase in housing start any time soon?
Rod Hershberger: We knew the right answer there and we would probably be in your shoes in that in ours. We would be projecting what’s going to happen to the market. At some point demographics kind of dictate that housing starts are going to have to pop back up because you look at household formation, look at the age both the upper, the older folks that are here and the younger family formation that are here, there is some pretty good drivers driving some housing starts and driving some things happening again. And then you have to balance that against that go other foreclosures that had flowed down some but and Florida is leading the nation right now in foreclosures. And there is a lot of REOs out there that I think banks are being pretty careful about dumping on the market driving market prices down and we have got to get through those which gives some inexpensive houses for people to buy. Hard to project what Housing starts are going to do. They really can drop a whole lot one, they are down 90%, they have been down 90% in our market and so, there's not a lot there, so any move is welcome news. If you put me on the spot and make me predict something, I would say 2011 we are not going to see a significant increase, I think it's going to be relatively flat, may be little worse. 2012, I think things come back a little bit but not dramatically.
Jeff Jackson: Yeah, I will just add to that. Luckily new construction only represents about 22% of our business as of the end of second quarter. So, its meaningful but its not; it's probably more of an indicator of over confidence in the economy that we are looking for. And once those starts start to raise that will impact on obviously our entire business from just a consumer confidence stand point.
Will Wong - JPMorgan: In terms of your budget you guys are basically budgeting flat towards, I mean a little worse in 2011 and then 2012 it’s a little of growth, is that fair to assume?
Rod Hershberger: When we started that the year we actually were thinking 2011 was going to be a up a little bit. 2010 was a better year housing start-wise than 2009, and we were thinking that be a little bit more consumer confidence and things would start bouncing back. I think the debacle has taken its toll on people. There is the lack of confidence construction jobs in Florida drop again in the past quarter. So, I think there's still a lot of angst to work with and hopefully we should be working through that when things will get better. But not quite as fast as may be we had anticipated when the year began. 
Will Wong - JPMorgan: Okay. And just a couple of house keeping notes. What are your WinGuard margins for the quarter?
Jeff Jackson: WinGuard margins were 41%.
Will Wong - JPMorgan: Agreed. And in terms of the zero percent tax rate, because the DTA, are you guys assuming that in 2012 that you will also roughly a 0% tax rate because of that?
Jeff Jackson: I would love to think would that be a start utilizing some of the deferred tax assets in 2012. So potentially a zero tax rate because of that but that’s hard to tell.
Operator: Our next question comes from Rob Hansen from Deutsche Bank
Rob Hansen- Deutsche Bank: Hi guys, just a question on, so you are expecting a little bit extra, I guess in sales right as a result of the delayed orders. So, that should kind of hit in Q3, another thing in Q3 should we also be expecting an extra $2 million to $3 million charge or is that going to be spread out into 4Q as well?
Rod Hershberger: Initially on the delayed orders that you were talking about, in the business we are in I don’t think we see a lot of delayed orders. We saw capacity constraints that affected our sales is Q2. Those capacity constraints are gone, but that doesn’t mean that orders that were just pushed out longer. When there is an opening there you got to fill that opening and I think it cost us in Q2. That’s been taken care of. I am pretty proud of our sales team. As we look at our customer base and going through some of the struggles we went through with extended lead times, we didn’t lose customers. Our customers believed in us and we are back operating like we were before. So I think that starts pumping sales up and lead times coming down. So it’s helping things that also. 
Jeff Jackson: Yeah I want to just add to that. Some of those were definitely probably lost opportunities because like Rod said, if you got a house, if you want a remodel then maybe just go ahead and do it. Some are more delays, I mean, we will pick up something. It’s hard to quantify what that is and obviously Q2 are normally our highest quarter. So it’s hard to tell how much that actually gets pushed off. There will be something of that. In terms of actual charge, I am thinking again based on very early July results, third quarter, I would expect it to come in around $1.5 million. If it is north of that I’ll be disappointed. If its south of that I’m going to be happy. So probably about another $1.5 million of these operational inefficiencies will flow through in the third quarter as compared to what we saw in the second quarter.
Rob Hansen- Deutsche Bank: Okay. And then now just, another you have this kind of consolidation almost complete, how do you guys think about opportunities in terms of growth going forward? Multi-family that’s been a big theme across the country. Are you able to benefit from an increase in multi-family starts or what else are you -- what are avenues that you are thinking about?
Rod Hershberger: Rob, we are pretty happy with our extensive product line. We talked a little bit about Architectural Systems product line. It’s a tough market out there. And that product line really serves the operational, we call it the operational high-rise market. The condo market which is perfectly when you are defining the multi-family type market. Our PremierVue product with the testing loads that it has on it, the structural strength and the thermal efficiency fits that market extremely well also. So, from a positioning point of view, whether it’s single family or whether it is multi-family, when its operational windows that people want, I would argue that we have the most complete and substantial product line that serves this market of any body out there. So, we think we are in the right spot. We’re pretty happy with the headway we are making with our architects, spending a lot of time with them as we look at projects on down the road and of course those are projects that are a year, two years, three years out. So I think we position ourselves extremely well for all that type of stuff. We just now have to wait until that actually happens and it comes out of the ground.
Rob Hansen- Deutsche Bank: Okay, and one last question on the consolidation. Are there any I just looking at on a comp basis 2012 over 2011, can you give us a dollar figure for loss sales just because you are going to be more concentrated in Florida now less out of state?
Jeff Jackson: Yeah we initially thought we would be walking away in assets from out of state sales and that $10 million is probably a good range but at a minimum $10 million top range just based off kind of a customer analysis, the markets we’re exiting and the products that we’re serving those areas. So I’ll be comfortable with 10. It could go up to 15. It just depends on our execution along the coast. 
Operator: I will now like to turn the conference over to Mr. Jackson Jeffrey for additional remark.
Jeff Jackson: Thank you for joining us today. We look forward to speaking to you again during our third quarter call. If you have any further questions, please call or email me. Have a good day. Thanks.